Operator: Good morning and welcome to the Restaurant Brands International Fourth Quarter 2017 Earnings Conference Call. All participants will be in listen-only mode [Operator Instructions] After today's call, there will be an opportunity to ask questions. [Operator Instructions] All callers will be limited to one question. Please note that today’s event is being recorded. I would now like to turn the conference over to Markus Sturm, Head of Investor Relations. Please go ahead.
Markus Sturm: Thank you, operator. Good morning, everyone and welcome to Restaurant Brands International's earnings call for the fourth quarter and full-year ended December 31, 2017. A live broadcast of this call may be accessed through the Investor Relations webpage at investor.rbi.com and a recording will be available for replay. Joining me on the call today are Restaurant Brands International’s Chief Executive Officer, Daniel Schwartz; Chief Financial Officer, Matt Dunnigan and Chief Technology and Development Officer, Josh Kobza. The team will be available to answer questions during the Q&A portion of today's call. Today's earnings call contains forward-looking statements, which are subject to various risks set forth in the press release issued this morning and in our SEC filings. In addition, this earnings call includes non-GAAP financial measures. Reconciliations of non-GAAP financial measures are included in the press release available on our website. Let's begin with the agenda for today's call. Daniel will start by discussing highlights for the fourth quarter and full-year at Restaurant Brands International and will then review performance of Tim Hortons, Burger King and Popeyes Louisiana Kitchen. Josh will then provide an update on development for the year, following which Matt will review our consolidated financial results. Daniel will then share some concluding remarks before opening the call up for Q&A. I'll now turn the call over to Daniel.
Daniel Schwartz: Thanks, Markus, and good morning everyone. Thanks for joining us on today's call. I'd first like to start the call by talking about our leadership team in RBI. As technological developments continue to evolve at a rapid pace, we're taking steps to put an even greater focus on technology here. Josh Kobza who is previously our Chief Financial Officer since 2013 has taken on the important new role of Chief Technology and Development Officer, where he’ll focus on enhancing our guest experience through technological innovation for each of our brands as well as continuing to lead our restaurant development efforts. Succeeding Josh as CFO is Matt done again, who has served as our Treasurer since joining the company in 2014. Matt was a natural successor for the CFO position, having successfully led all of our capital markets activities over the past few years, including our acquisition of Popeyes and our various refinancing transactions. We’re really excited for Josh and Matt in their new roles and both will be sharing some remarks in a few minutes. But before handing the call over to them, I'd first like to discuss our results for the fourth quarter and for the full year 2017. I'm pleased to report another year of strong results, driven by continued system wide sales growth for each of our three iconic brands. Tim Hortons, Burger King and Popeyes. Through the dedication of our franchises and their teams all around the world, we were able to achieve important milestones this year including growing annual systemwide sales to over $30 billion and reaching over 24,000 restaurants worldwide. In 2017, continued top-line growth at each of our brands led to consolidated adjusted EBITDA of $2,146 million representing 8.3% organic growth versus the prior year's combined results of RBI including a full year of Popeyes. Growth at Burger King and Tim Hortons as well as the inclusion of Popeyes in our results led to adjusted diluted EPS of $2.10 per share in 2017, up from a $1.58 per share in the prior year. Our Tim Hortons business achieved 3% systemwide sales growth for the year, primarily driven by net restaurant growth. We achieved some important issue of the Tim this year, including the launching our mobile app and our espresso-based beverage platform across Canada and the U.S. and opening our first restaurants under our master franchise joint venture partnerships each of Asia, Europe and Latin America. We had a good year at Burger King, where we achieved comparable sales of 3.1% which coupled with net restaurant growth of 6.5% led to systemwide sales growth of 10.1%. We also achieved important initiatives at BK including continued acceleration of net restaurant growth, the signing of numerous development agreements and the continued creative promotion of our brand as recognized through the receipt of several marketing awards including Creative Marketer of the Year at --. At Popeyes, we've made good progress integrating the business after acquiring it earlier in the year. Systemwide sales grew by 5.1% for the year, driven by net restaurant growth of 6.1% partially offset by global comparable sales of negative 1.5% resulting from the heightened competitive activity that we saw in U.S. We remain confident and excited about the growth prospects for each of our three iconic brands, and we believe our strategy of focusing on franchisee profitability and guest satisfaction will allow us to further grow systemwide sales for each our brands over the long run. Let's now start by reviewing results for our Tim Hortons business. Full year adjusted EBITDA for Tim's was $1,136 million, up 4% year-on-year on a constant currency basis, primarily driven by revenue growth. In 2017, our Tim's worldwide comparable sales were relatively flat driven by Canada comparable sales of 0.2%. Our relatively flat results in Canada reflect a macro-driven comparable sales decline in parts of Western Canada offset by comparable sales growth in other parts of the country. In the fourth quarter, Canada comparable sales improved on a sequential basis to 0.8% and we hope to build on that momentum heading into 2018. Our fourth quarter results in Canada were driven by growth in our coffee category led by our espresso-based beverage platform as well as growth in breakfast and baked goods partially offset by softness in our lunch day part. Our growth in breakfast includes the launch of our breakfast baked sandwich and our simply sausage offer. Our growth in baked goods in the fourth quarter reflected the success of various offerings including our fall harvest and our holiday lineups, of muffins, donuts and Timbits. We've launched our espresso-based beverage platform across Canada and U.S. in 2017 and are pleased with the growth and volume that we've seen throughout the year. We encourage guests to sample our newest espresso beverages through a number of initiatives including product innovation such as our pumpkin spice latte in the fall and our peppermint mocha latte in the winter. We’re happy with the amount of positive feedback received from guests who did sample these products many of whom now enjoy our espresso beverages on a daily basis. However, there are many guests who are yet to try these products we believe this represents a bit opportunity for our business in the long run. We also made progress in the digital front it tends this year having launched our new mobile app in Canada and the U.S. It is still early and team is dedicated to further improving the app to enhance the overall guest experience that it delivers. Our apps user based continues to grow and we anticipate leveraging additional strategies and to driving further user adoption in the future. The digital channel has been and will continue to be a key focus of ours as we grow the Tim’s brand. The dedication and engagement from our restaurant owners and their team as it relates to supporting increasing digital base customer interactions remains critical to the successful our digital platform. Having now rolled out our espresso-based beverages and our digital app heading into 2018, we are largely focused on growing our coffee leadership, our launch day part and our digital platform. In the fourth quarter, we held our Annual Warm Wishes campaign where volunteers including Tim Hortons employees and franchisees helps for throughout the holiday season by performing good deals in our local communities. Giving back to local communities including through campaign such as Warm Wishes, Camp Day and Smile Cookie Day has always been a distinctive attribute of the Tim’s brand and we’re proud to continue serving and supporting our local communities. Now let’s review the results for the BURGER KING business. We continued our momentum through the fourth quarter to achieve full year 2017 system-wide sales growth of 10.1%. System-wide sales growth was driven both by comparable sales of 3.1%, as well as accelerated net restaurant growth of 6.5%. Growth in our top-line combined with effective cost management resulted in full year adjusted EBITDA of $903 million, up 10.6% on an organic basis versus a prior year. In the U.S., we further accelerated comparable sales in the fourth quarter of 5.1% resulting in full year comparable sales of 2.5%. During the fourth quarter, we maintained a balanced approach to our menu initiatives across price points and products. Continued to innovate around our BAKING KING and our Crispy Chicken Sandwich two platforms that perform particularly out well in 2017. We also had several successful value promotions during the quarter that contributed positively to our results and we believe that maintained its balance menu offering to provide our guest with product that they love at great prices will continue to drive further sales growth over the long run. Internationally, we saw strength in many of our large markets in the fourth quarter including China, Turkey, Spain, Brazil, the UK and Russia. Growth in each of these markets was driven by a balance of premium products and limited time offers, while also maintaining compelling value offerings. Favorable comparable sales in these markets was partially offset by continued soft business in other markets including Australia and Korea. Over the past few years, we placed a lot of emphasis on our global marketing efforts for the Burger King brand including through highly creative and often edgy advertising campaigns. Headlines at these campaigns generate had helps to successfully drive comparable sales and have also resulted in notable recognition from several third-party agencies. We are honored that this year the Burger King brand won the Prestigious Creative Marketer of the Year award at Cannes Lion one of top recognitions from the leading ad industry publications including Adweek, Business Insider, Marketing Week, AdNews, AdAge and several others. Heading into 2018, our franchisees and our marketing team continue to focus on furthering the global positioning of the Burger King brand which will help us grow our global market share from many, many years to come. As we continue to grow the brand around the world, we and our franchisees recognize the importance of also giving back to the communities and to the guests that help us achieve that growth. That’s why I’m proud to say that last year the Burger King McLAMORE foundation awarded millions of dollars in scholarships to over 3000 students and also funded numerous literacy and educational projects all around the world. This has been and will continue to be a big priority for the Burger King brand. Now let’s review the results for Popeyes. This year we grew our system wide sales by 5.1% driven by net restaurant growth of 6.1%, partially offset by a comparable sales decrease of 1.5%. The softness in comparable sales for the year was a result of comparable sales of negative 2.2% in the US, offset by strength in some of our international markets. In the US, heightened competitive activity had a particular focus on value discount and continued in the fourth quarter. Though we still have work to do, US comparable sales have improved sequentially in the fourth quarter and we’ve been testing a number of marketing initiatives in recent months that we believe will help us building on that momentum for improved results this year. Internationally we saw growth in some of our larger markets including Canada and Turkey where a balance of limited time offers and value bundles resonated well with our guests which was partially offset by some softness in other markets such as Korea. Following the completion of the acquisition of Popeyes in March of 2017, we’ve made a lot of progress on our efforts to integrate the business. When combined with system wide sales growth, these synergies help us achieve Popeyes full year adjusted EBITDA of a $130 million which was up 36% organically versus Popeyes previous fiscal year results. I’d now like to turn the call over to Josh who in his new capacity as Chief Technology Development Officer will provide an update on restaurant development for each of our three brands.
Josh Kobza: Thanks Daniel. In my former role as CFO, a part of my responsibilities over the past several years involved implementing and supporting new development partnerships including many of our master franchise arrangements and our master franchise joint ventures. Now in my new role as Chief Technology and Development Officer in addition to driving technological innovations for our brands, I will continue to oversee our restaurant development efforts. As part of that responsibility, I am pleased to provide an update on our 2017 development results. This year, RBI’s total restaurant count increased by 5.8% due to the hard work and dedication of our franchisees across each of our brands to build good looking restaurants that deliver a great experience to their guests. This growth reflects notable year-over-year acceleration of net restaurant growth at Burger King, continued strength of Popeyes net restaurant growth in the US and moderate net restaurant growth in Canada for Tim Hortons. At Burger King, we grew net restaurant count year-over-year by 6.5%. Our accelerated development was a product of achieving incremental unit growth in many countries all around the world. So, it was primarily led by some of our higher growth markets including China, Russia, France and Brazil. In China, we ended 2017 with over 875 restaurants up from approximately 650 a year prior. In Russia, we opened our 500th restaurant this year and ended the year with over 520 restaurants in the country, up approximately 100 restaurants year-over-year. Our partner in France has also made good progress over the past few years. Having grown their restaurant footprint to over 200 locations through the development of new restaurants and the conversion of several quick restaurants. In Brazil, our master franchise partner achieved another year of strong net restaurant growth and in the year with nearly 700 locations as compared to approximately 600 locations in the prior year. The pace at which partners such as these, our opening restaurants around the world highlights the strength and scale potential of our master franchise development model. To further accelerate that growth all around the world, we set up a number of new partnerships for Burger King in 2017 including in sub-Saharan Africa, Japan, Taiwan, United Kingdom and most recently in the Netherlands in the beginning of 2018. Each of the markets has existing Burger King restaurants, but we believe the markets are meaningfully under penetrated with significant potential for growth. We also added a net of 70 additional Burger King restaurants in the United States in 2017. We believe that accelerated growth in the U.S. is a testament to the meaningfully improved franchisee economics, resulting from years of increased average revenues per store. We hope to further accelerate our U.S. restaurant development heading into 2018 and beyond. Popeyes restaurant count grew 6.1% year-over-year, primarily driven by growth in the U.S., where we opened nearly 120 net new restaurants as well as continued growth in both Canada and Turkey. In 2017, we signed a number of new agreements in the U.S., with both existing and new partners to further expand the Popeyes footprint throughout the country. We continue to receive significant interest from various partners to grow the Popeyes brand across the U.S., which highlights the strength of the brand's unit economics and growth potential. This year, we also opened our first Popeyes in South Africa, a natural market for the brand, given the fit of our Louisiana style flavor profile with local taste. We continue to be encouraged by the level of interest it received from both existing and prospective partners. We’re excited by the potential opportunity to bring Popeyes international markets in a big way. At Tim’s 2017 net restaurant growth was 2.9%. In Canada, we had a tempered pace of growth in 2017, having opened approximately 110 net restaurants after choosing to be more selective in our development approach and insight section. In the U.S., as mentioned in our remarks last quarter, we've been developing at a slower pace than originally anticipated, but we remain focused on the U.S. as a key priority market with significant long-term potential. We continue to work closely with and support our U.S. partners to build up the brand in the respective markets for many years to come. Internationally, we opened our first Tim Hortons restaurants in each of Asia, Europe and Latin America this year, resulting from a master franchise joint ventures we set up over the past two years. In the U.K., and the Philippines, we opened 13 and 10 restaurants in 2017 respectively, and we also opened our first two restaurants in Egypt, Spain and Mexico. These international stores continue to perform well and our partners have been building robust pipelines for additional openings in 2018 and beyond. We continue to work closely with these partners to accelerate development in these international markets over time. I will now turn the call over to Matt to provide an update on our financial results and capital allocation.
Matt Dunnigan: Thanks, Josh. It’s a pleasure to join everyone on today's call and I'm excited and honored by the opportunity to support the business in this new capacity as CFO. Turning to the financial results, the combination of growth in our top line for Tim Hortons and Burger King and inclusion of Popeyes in our results, resulted in 2017 adjusted EBITDA of $2.146 billion, up 8.3% on an organic basis versus prior year combined results, including a full-year of Popeyes in both periods. These results reflect the fourth quarter adjusted EBITDA of $606 million, up 10.8% on an organic basis versus prior year combined results, including Popeyes. Adjusted EBITDA growth combined with the favorable tax rate resulting from the taxable benefit of stock option exercises led to adjusted net income of just over $1 billion for 2017 versus $744 million in 2016. Adjusted diluted EPS for the year was $2.10 per share up versus $1.58 per share in the prior year. As a reminder, neither adjusted net income nor adjusted diluted EPS include Popeyes for the first quarter of 2017 or for the full year of 2016 as the business was acquired in March of 2017. Next, we wanted to provide a brief update with regard to recently enacted U.S. tax legislation which we referred to as the tax act. Though we are Canadian company, we have U.S. subsidiaries subject to U.S. federal income taxation and therefore the tax act impacted our results in 2017 and is expected to continue to impact our results in future periods. Looking ahead to 2018, based on our current interpretation of the tax act, we anticipate our 2018 adjusted effective income tax rate to be in the low-20% range, with continued quarter-to-quarter volatility. While we have not historically provided forward-looking guidance, we wanted to be helpful and clarify the anticipated impact the recent changes may have on our business. However, we wish to clarify that we do not intend to provide perspective updates on this estimated tax rate. It is also important to note that certain provisions of the tax act are complex and are expected to be clarified by future regulatory guidance, which could further impact our income tax rate. Our fourth quarter and full year 2017 net income attributable to common shares includes onetime benefits related to the implementation of the tax act as well as the redemption of our preferred shares, while our adjusted net income excludes these onetime benefits. More details pertaining to these onetime benefits can be found in our press release and in our Form 10-K. We also wanted to speak briefly on the implementation of new revenue recognition accounting standards, that will commence starting the first quarter of 2018. As will be disclosed in our Form 10-K we will be applying a transition method to the new standards, under which a retained earnings adjustment will be recorded at the beginning of 2018 to reflect the cumulative impact of transitioning to the new standard as if the standard had always been in place. Under this transition method, we will not be restating results prior to 2018 to reflect the new accounting standards, however we will be providing disclosures in 2018 that quantify the impact the new standard has on our 2018 results, including our adjusted EBITDA and adjusted net income to allow for year-over-year comparability. The two largest impacts of these new standards pertain to the recognition of upfront franchise fees and of advertising funds that we manage on behalf of franchises. Under current accounting standards, we recognize franchise fees when we have performed all material obligations and services which generally occurs when franchise restaurants open. Under the new accounting standards, we will defer initial and renewal franchise fees and recognize this revenue over the term of the related franchise agreement. Under current accounting standards, we do not reflect advertising fund contributions from franchisees or advertising fund expenditures in our statement of operations to the extent that contributions received exceed advertising expenditures, the excess contributions are treated as deferred liability. To be extent that advertising expenditures exceed advertising fund contributions, the differences recorded as a temporarily receivable from the fund. Under the new accounting standards advertising fund contributions from franchisees and advertising fund expenditures will be reported on a gross basis and our statement of operations and the timing of certain advertising fund revenues and expenses may result in some quarter-to-quarter fluctuations. It is important to note that adjusted EBITDA is a metric used by us to measure the operating performance of our business as it excludes several non-cash and other specifically identified items. The new accounting standards will have no impact on the amount or timing of our cash flows. However, they will have an impact on our consolidated statement of operations including adjusted EBITDA. Consequently, under the new standards, we believe that adjusted EBITDA will less closely correspond to the underlying cash flows of our business. Given the non-cash nature of these changes, we do not intend to provide forward-looking estimates as to the potential impact that the new standards will have on our consolidated statement of operations. Let’s now discuss our cash generation and capital allocation for the year. We generated approximately $1.4 billion in free cash flow in 2017. Calculated as cash flows from operating activities of approximately 1.4 billion less cash flows from investing activities of 858 million, plus in ad back for net cash invested to acquire Popeyes of approximately 1.6 billion. Less the net cash settlement of our prior Canadian dollar cross-currency swap of $763 million. In the fourth quarter, we completed the previously announced redemption of our preferred shares for a final redemption price just over $3 billion as well as the repurchase of 5 million partnership exchangeable units for approximately $330 million. Our final preferred redemption price of just over $3 billion is below the 3.3 billion amount we had previously anticipated reflecting our fourth quarter review of the redemption price calculations and inputs. The difference between these two amounts is reflected in our consolidated statement of operations and further details of final redemption consideration can be found in Form 10-K. As of December 31, 2017, our ending cash balance was application $1.1 billion, our total debt balance was $12.3 billion and our net debt was $11.2 billion. Throughout 2017, we successfully refinance a vast majority of our capital structure, completed the acquisition of Popeyes redeemed our 9% preferred shares, repurchased partnership exchangeable units and increased our dividend, illustrating our balanced approach to capital allocation and commitment to creating long-term value for all stakeholders. Collectively, these transactions meaningfully reduce our cost of capital and they will benefit our cash flow generation in 2018 and beyond. This morning, we announced that on February 12, 2018, the RBI Board of Directors declared a dividend of $0.45 per common share and partnership exchangeable unit for the first quarter of 2018 payable on April 2, 2018. In connection with the declared dividend, we also announced that we are targeting a total of $1.80 in dividends per common share and partnership exchangeable unit in 2018. To put this in context, if you look at our 2017 statement of cash flows, you will see this target is relatively comparable to the total capital return to equity holders in 2017, when including our dividends on common shares, preferred shares and partnership exchangeable units and our repurchase of partnership exchangeable units. With this in mind, we believe that our 2018 dividend target is consistent with our historical approach to balance capital allocation. I’d now like to hand the call back to Daniel for concluding remarks.
Daniel Schwartz: Thanks Matt. We’re pleased to report another year of strong results driven primarily by system wide sales growth for each of our three brands. Tim Hortons, Burger King and Popeyes Louisiana Kitchen. This topline expansion resulted in 2017 organic adjusted EBITDA growth of 8.3% for the year as compared to the prior year’s which include the full year of Popeyes. We accomplished important initiatives this year across each of brands including accelerated development at Burger King, the roll out of Espresso in our mobile approximately for Tim Hortons and the smooth integration of our Popeyes brand. We continue to excite by the growth prospects for each of our three brands and we believe that we have the right strategy in place to create further value for all of our stakeholders for the long run. Thanks to everybody for joining us this morning. I will now open up the call for Q&A. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions]. And our first question comes from the line of John Glass of Morgan Stanley. Please go ahead.
John Glass: Thanks very much. Josh, I wondered if you could comment a little bit more about development at Tim Hortons and your thoughts going forward. Was it reduced level of growth in’17 your choice or was it the franchisees choice, maybe a little bit of granularity on what drove that decision making. And then on the US, what are the road blocks in your mind to accelerated development. In other words, have unit economics not where you want them to be, is it finding I guess it’s related to finding franchisees are willing in your system. Can you comment on those two elements of unit growth please?
Josh Kobza: Hey John its Josh, thank you for the question. I think with respect to Canada, as we find it to be a bit more selective this year and we still grew I think at quite a healthy pace adding more than 100 net new restaurants in Canada. So, we continue to grow our base at a quite healthy clip. And I think we’ll continue to do that going forward. So, I think we’re still growing quite well and you will see us continue to doing that in the future in Canada. We have chosen to be a little bit more selective in 2017. In the US, as I also mentioned you know I think we view the US that we have and we continue to use the US as a huge growth opportunity for Tim Hortons over the long-term. I would say that our progress there has been slower than we had hoped and you see that in the results so far. But we remain very committed to that market and our teams are working very closely together with all of our development and partners across the US to make sure that we’re executing very well in all the markets where we’re opening restaurants and operating restaurants to make sure that we have the right unit economics, we have the right operations, the right image, the right brand position and the right execution of all those elements to make the restaurants really successful. So that we can accelerate the pace of growth and realize what we see to be a really big long-term opportunity. I think the last point I would make on Tim’s development is really what we’re seeing in international. We’ve said since we got involved with Tim’s that the really big opportunity with Tim’s is to make a truly global brand and you saw us start to do that this year, opening up a lot of restaurants really across all -- number of continents around the globe, opening up in the U.K. and the Philippines and Spain and Mexico and we've been really pleased with the reception that the brand had in all of those countries. I'm very pleased with how our partners in those countries have been able to realize the execution of the brand in those markets. So, I think that's really encouraging as well and we look forward to building up on that success. So, we're pretty excited about where we can go with development at Tim’s in 2018 and for many years beyond that.
Operator: Our next question comes from Patricia Baker of Deutsche Bank. Please go ahead.
Patricia Baker: Another question on Tim's. Can you talk about the Canadian performance in your reference where the strength was, but also noted that you have softness in the lunch day part? Can you talk about your thoughts on why that is, what you're going to do about it and what the issues are?
Daniel Schwartz: Hi. It’s Daniel. Thanks for the question. As we've as we said we have seen some sequential improvement in the comparable sales of Tim’s in Canada this quarter, we are up just under 1%. Although, we did still see some softness in the western part of the country, in part due to the macroeconomic conditions. As we said we're continuing to focus our growth around building our espresso-based beverage platform. We've been innovating around that platform with pumpkin spice latte, peppermint mocha as it pertains to the lunch day part, we do see an opportunity to build on an already strong lunch business that we have in Canada. We launched a new great product in the fourth quarter in our artisan grilled cheese sandwich and if you haven't seen we've already launched another strong product in the first quarter of year, the new turkey-bacon club sandwich and so we're continuing to innovate and build around that already strong lunch day part, and as we kind of look out and heading into 2018, we largely focused on continuing to drive the business forward and growing our coffee leadership, building on our espresso-based beverages, continuing to drive lunch sales and then our digital platform having that rolled out our mobile order and prepay app.
Operator: Our next question comes from Dennis Geiger of UBS. Please go ahead.
Dennis Geiger: Great, thank you. Would you want to comment at all on the minimum wage situation in Canada, in light of the media attention, anything you could share on whether the business has seen any kind of impact, then I guess beyond that how the system is thinking about, offsetting those labor headlines? Thanks.
Daniel Schwartz: Yeah, thanks. Daniel, again. I think all we can say is, while the pace of the changes is challenging for all business owners, as we said in the past and this really applies to all of the brands, in all the geographies that we operate in, and this is a business that faces cost inflation from year-to-year, some years labor inflation will be higher, other years commodity and utilities will be higher and it's our primary objective, together with our franchise partners around the world to drive sales growth in order to offset any cost inflations that we may face from year-to-year. As it pertains to the Tim’s brand, the business is strong, the brand is healthy and we're working closely with our restaurant owners to drive sales for many years to come, to offset any cost inflation that we may face.
Operator: Our next question comes from Mark Petrie of CIBC. Please go ahead.
Mark Petrie: Hey good morning. Thanks for all the comments on Tim. I want to ask about Popeyes in the U.S. and if you could just comment about the competitive activity there, your innovation as it relates to returning to a positive comp momentum. And then any comment you could offer in terms of the cost cutting progress and sort of are we run-rate SG&A for that business?
Daniel Schwartz: It's Daniel, thanks for the question. As we mentioned in prior quarters, we have continued to see a heightened competitive activity in the U.S. Although, we worked very closely with our franchise owners to refine the marketing calendars as we enter 2018. And we're focused on providing great balanced menu that caters to our guests in all respects to provide good value and good innovation. And we continue to be quite encouraged by the outlook for the Popeyes business as the pace of development has accelerated in this most recent years and unit economics continue to quite strong. And we're confident in our ability to drive sales growth and profitability growth for our restaurant owners for the long run. As we've mentioned in the past, we had acquired the brand earlier last year, and we've already integrated Popeyes into our Restaurant Brands International and look forward to building those into brand for many many years to come.
Operator: Our next question comes from Brian Bittner of Oppenheimer. Please go ahead.
Brian Bittner: Thanks, good morning. I've got two questions. Just first on the taxes, thanks for the help on that. Does the low 20s rate going forward, does that assume any strategic shift in the capital structure with your U.S. domicile debt. Because it assumes any of the interest associated with that debt is not tax deductible, that's the first question. Second question, as you saw in G&A in general, we saw a big reversal in the G&A trends this quarter relative to last several quarters. Can you just explain what happened this quarter so we can understand how to think about that part of the P&L going forward? Thanks guys.
Matt Dunnigan: Hi, this is Matt, thanks for the question. First on the tax, as we mentioned in the prepared remarks, it's on our current interpretation of the tax act, we anticipate the 2018 adjusted effective income tax rate to be in the low-20% range with continued quarter-to-quarter volatility. And as we move forward, we expect certain provisions of the tax act to be clarified and which could have further impacts on this rate. As it relates to the composition of the tax rate, these various puts and takes and assumptions which may change from quarter-to-quarter. And these will evolve as the tax reform provisions become clarified. On the second part of your question related to SG&A, we'll just take a second here and kind of walk through some of the different movements across three brands. Within Tim's as mentioned in prior quarters, we continue to grow Tim's all around the world and we may see G&A growth in certain areas as we spend on initiatives to support that growth such as international expansion and digital. We also allocated time and resources to meeting with our franchisees all across Canada in this past year to discuss and address the agenda that we're putting together moving forward. On the BK side, we've owned the BK business for 7 years now. We continue to put an emphasis on effective cost management through ZBB and we're always looking for opportunities for efficiencies within the business. I will that in Q4 and the full year numbers through 2017 we see the impact of synergies that were realize through leveraging shared services across the three brands now with the ownership of Popeyes. And also, some benefit from performance-based compensation in the year, which is driving benefits versus prior periods. And then lastly in Popeyes, we’ve made good progress as Dan mentioned any creating Popeyes throughout the year. And we have seen G&A savings as we integrated our back-office functions and implemented ZBB and we look forward to continuing to integrate that business. However, much of the straight forward cost benefits related to the integration of the brands has been achieve.
Operator: Our next question comes from Andrew Charles of Cowen. Please go ahead.
Andrew Charles: Two on Tim's if I may. Tim's Hortons gross margins were flat for the second consecutive quarter. So, wondering what you’re seeing in this line is it obviously custom to significant expansion of last 2.5 years. But with the restrain coming from rising input costs or change in the prices structured to franchisees. And then secondly, what do you need to see before you allow the Tim Hortons Canadian franchisees take price in 2018 given the cost pressures there? Thanks.
Matt Dunnigan: On the supply chain side, I would say that the margins were flat and we’re happy with the levels they are at.
Daniel Schwartz: And on the second question as has always been the case, we take price from time-to-time and we look at a variety of factors and input factors to consider the pace and amount of price we take, and that hasn’t changed.
Operator: Our next question comes from Gregory Francfort of Bank of America. Please go ahead.
Gregory Francfort: I have two questions. One, which is really, just clarification. On the tax in the low-20s, are you assuming a stock compensation benefit there? Because I think that was turnaround 4.5 points this year. And so materially changed the number that you’re suggesting if it’s in that number or not. And then I guess the second question is on the dividend, there is a very big shift, I guess in your policy of taking basically a [penny a quarter] to now basically doubling the amount of capital returning to shareholders. What went through that process and I guess how were you’re thinking about the level to which you went and sort of what was going through that -- how you came with that change?
Matt Dunnigan: First on the tax rate as we mentioned based on our current interpretation of the Tax Act, we expect to be in the low-20% range for 2018 and there is various puts and takes and assumptions involved in that calculation which may change overtime and we also expect that certain aspects of the Tax Act will be clarified overtime and could have an impact on that rate. As it relates to the dividend and capital allocation, we’re committed to maintaining a balanced approach to capital allocation, which I think we’ve continued to demonstrate overtime through debt repayment continued delevering share repurchases increasing our dividends as our earnings grow and continued investment in our brands. During the fourth quarter, one of the key highlights here was in addition to some of the refinancing activities earlier in the year. We redeemed our preferred share and as a result of redeeming the preferred shares, we’ve shifted from a model of distributing preferred and common dividends to one of focusing on a common dividend and as we mentioned in the prepared remarks, as we think about capital allocation, we looked at our distributions and the target that we’ve set out here for 2018 of $1.80 per share is relatively comparable to the total capital that we returned in 2017 when you take into account the common dividends, preferred dividends and share repurchases.
Operator: Our next question comes from Will Slabaugh of Stephens Inc. Please go ahead.
Will Slabaugh: Thank you, just a clarification and a question if I could. Following up just on the dividend question, does that signal anything regarding the timing or size of any future acquisition, number one. And number two, the real question is on Burger King which we haven’t touched on yet, you’re clearly accelerating that business especially on a two-year basis. At the same time, it seems QSR world is getting more competitive and your biggest competitors are actually getting more aggressive. So, when you talk about what worked in the current quarter for you there in particular and then especially on the value side, just given the aggressiveness of value and as we look forward if you’re shifting kind of and if you’re thinking as your competitors are getting more aggressive?
Daniel Schwartz: Yeah, hi thanks for the question. Its Daniel, with respect to the first question, you know as Matt said we always take a kind of look at our capital allocation holistically and have historically maintained a balanced approach. We believe that even after these changes that we will still be able to continue to delever the business going forward and having said that we are focused on driving organic growth in our three brands for many years to come. But we do believe that we will continue to be able to delever at a healthy pace perceptively. With respect to Burger King, I’m pleased to say we’ve been disciplined to stick to the plan that we set in motion in over seven years ago where together with the restaurant owners in the US and we invested in renovating the system, improved our marketing, launched good menu offerings, improved our operations, and the combination of all that allowed us to significantly grow the sales for restaurants and profitability for restaurants for our restaurant owners for many years. And the QSR industry has been competitive and it is competitive and it will be competitive and that hasn’t changed our approach which has been that of being balanced with respect to value and premium offerings and you’ll see us continuing this balanced approach going forward and we’ve said in the past that it's not a straight line but we are confident that over the long run if we stick to our plans and we work hard with our strong franchise partners we’ll be able to grow the size of the brand in the business.
Operator: Our next question comes from Karen Holthouse, Goldman Sachs. Please go ahead.
Karen Holthouse: Hi thanks for taking the question. Could you just comment high level on now that we’re past the end of 2017 on trends on franchise profitability or EBITDA or cash flow whatever metrics you would focus on? Thanks.
Daniel Schwartz: I would say generally speaking the trends would be consistent with those of the same store sales in the long run and we’ve talked in the past that our goals here are to drive franchise owner profitability and drive guest satisfaction and those goals haven't changed. And in general, those profitability trends tend to move in line with the direction of the same store sales, which is why we’re always very focused on driving sales growth together with our franchise partners.
Operator: Our next question comes from Josh Long of Piper Jaffray. Please go ahead.
Josh Long: Great. Thank you for taking my questions. On the Popeyes side of the business with the integration ongoing was curious, how you think about the appetite for global growth of that brand among your franchisees and what you're doing in order to set that up for accelerated growth, particularly in internationally as we go forward?
Daniel Schwartz: Hey, Josh, thanks for the question Josh. As I mentioned a little bit earlier, we made a bunch of progress this year on growth in the U.S., I think both in terms of the actual restaurant openings and in terms of setting up a lot of new development agreements and I think one of our big priorities for 2018 is going to be doing the same thing in a lot of new international markets. As I talked about a number of times, the thing that – maybe we’ve got the most excited about Popeyes from the beginning with the ability to grow the brand all around the world in so many of these global markets and we'll be spending a lot of time working on setting up those new participants in 2018 and we look forward to, hopefully bring you guys a lot as well, a lot of news about where we're going to Popeyes in the next course of the year.
Operator: Our next question comes from Jason West of Credit Suisse. Please go ahead.
Jason West: Yeah. Just a couple questions. One, Daniel, you made the comment a couple times about continuing to delever the balance sheet and obviously you guys just raise the dividend significantly, I just wonder if you're changing your view at all about the capital structure and how levered you want to be going forward, particularly with interest rates may be ticking up here a bit. And then secondly as we're going to have some accounting changes I think this year, I think people increasingly are going to focus on free cash flow in the business, is there anything going on going forward in terms of maybe cash taxes or CapEx investments or supply chain investments anything like that that we should be aware of as we're trying to tighten up our free cash flow forecast? Thanks.
Daniel Schwartz: Yeah. Hi, it’s Daniel. Yeah, I did mention that we will continue to delever that, that's been a priority of ours in the past, we never had a leveraged target as you know. We look at the capital allocation outlook for the year. As Matt had mentioned, it's largely consistent with where we've been in the past or at least last year if you kind of look at that some of the common preferred and PEU buyback, share buyback. So, as we kind of look out to the future, we don't see any major impacts in some of those areas that you’ve mentioned and we'll continue to delever and focused on growing the size of our business and our brands all around the world.
Operator: Our next question comes from Peter Sklar of BMO Capital Markets. Please go ahead.
Peter Sklar: I just have a question on the Tim Hortons comp. While the comp in Canada was as you mentioned 0.8%, your global comp was somewhat less, suggesting, you did have a negative comp in the U.S. so can you just talk a little bit about what's going on in terms of the U.S. comps and what you think the issues are and what steps you're taking to improve the comp?
Daniel Schwartz: Thanks. As Josh had mentioned as an answer to one of their questions, we have seen some softer sales in the U.S. recently with the very competitive U.S. QSR environment. We've launched our espresso-based beverages later in the year actually at end of Q3 and to Q4, which we believe will be a key platform for growth for the brand. And as Josh mentioned, we are committed to growing this brand for the long run in the U.S. together with our restaurant owners there.
Operator: Our next question comes from Matt McGinley of Evercore ISI. Please go ahead.
Matt McGinley: Thanks, I have a follow up on the tax rate and I appreciate the complexity and trying to predict that way. But when you gave the low-20s, what the ultimately compared to? Is that comparable to 2016 where you had a low-20s rate. And 2017 had been always from the tax act and stock-based comp. So, I guess the question directly is there any increase in the underlying rate excluding the noise from 2017 in that, and the guidance for that low-20s for 2018?
Daniel Schwartz: I think as we've mentioned before, based on all the different aspects of the tax act and our current understanding of them. We believe that will be in the low-20% range for 2018. When we think about putting this into the context, I think if you look back over a long term on historical trends within the tax rate. This level is relatively comparable.
Operator: This concludes our question-and-answer-session. I would like to turn the conference back over to Daniel Schwartz for any closing remarks.
Daniel Schwartz: Thank you everybody for joining us today. And we look forward to updating you next quarter. Thanks a lot.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.